Operator: Welcome to Workday's fourth quarter earnings call. At this time all participants are in a listen-only mode. We will conduct a question-and-answer session towards the end of the conference. With that, I will hand the call over to Mike Haase.
Mike Haase: Welcome to Workday's fourth quarter fiscal 2013 earnings conference call. On the call we have Aneel Bhusri, our Chairman and Co-CEO, and Mark Peek, our CFO. Following their prepared remarks, we will take questions. Our press release was issued after close of market and is posted on our website where this call is being simultaneously webcast. Statements made on this call include forward-looking statements such as those with the words will, believe, expect, anticipate and similar phrases that denote future expectation or intent regarding our financial results, applications, customer demand, operations and other matters. These statements are subject to risks, uncertainties and assumptions. Please refer to the press release and the risk factors in documents filed with the Securities and Exchange Commission, including our quarterly report on Form 10-Q for information on risks and uncertainties that may cause actual results to differ materially from those set forth in such statements. In addition, during today's call we will discuss non-GAAP financial measures. These non-GAAP financial measures, which are used as measures of Workday's performance, should be considered in addition to, not as a substitute for or an isolation from, GAAP results. Our non-GAAP measures exclude the effect on our GAAP results of stock-based compensation and an equity grant to the Workday Foundation. You can find additional disclosures regarding these non-GAAP measures including reconciliations with comparable GAAP results in our earnings press release and on the Investor Relations page of our website. Also the customers’ page of our website includes a list of selected customers and is updated at the beginning of each month. The webcast replay of this call will be available for the next 45 days on our company website under the Investor Relations link. Our first quarter quiet period begins at the close of business April 16, 2013. Finally, unless otherwise stated, all financial comparisons in this call will be to our results for the comparable period of our fiscal 2012. With that, let me hand it over to Aneel.
Aneel Bhusri: I want to start by welcoming everyone to our fourth quarter earnings call. I want to offer some brief comments on our business before turning it over to Mark for the bulk of the discussions. So let’s get started. Fiscal year 2013 was a great year for Workday, successfully delivered three updates, Workday 16, 17, and 18, providing our customers with hundreds of enhancements and new features for their Workday HCM, financials and payroll applications. Importantly all of our customers are on the current update Workday 18. And as a result, all of Workday’s development energy is devoted to our next update. This emphasizes what Dave and I refer to as power of one, one code line, one version, one community. We also delivered two new applications during the year. The first one Workday Time Tracking is an application that allows enterprises to collect, process, manage time and labor for their global workforce. Our second new application was grants management delivered for the education and government markets. In fiscal year 2013, we also continued our heavy investment in the mobile capabilities of our applications bringing major enhancements to the Apple iPhone and iPad platforms. For other mobile platforms, such as Android, BlackBerry and Windows Phone, we introduced a new touch optimized interface built on HTML 5. Our mobile efforts are of strong personal interest to me and will continue to be a big area of focus for Workday. And lastly, this past November we announced two new applications, Workday Big Data and Workday Recruiting. The development efforts for both of these new applications are well underway and on track with Workday Big Data scheduled for general availability in the second half of this year and Workday Recruiting on scheduled to be for general available in early calendar 2014. From a customer perspective we added 150 net new customers in fiscal year 2013 and more than 50 just in the fourth quarter. Some of our notable fourth quarter wins include Nissan Motor Company, Primark, Thiess, Del Monte, SunTrust Banks and Travelex, and we continue to gain traction with Workday financials. In the fourth quarter we welcomed our 50th financial management customer. Other financial management customers signed in fiscal year 2013 include the University of Rochester as well as JB Hunt, an existing Workday HCM customer that later decided to add Workday Financial Management. This is a trend we expect will continue. Of course, customer wins are only part of the story, it’s really all about getting customers up and running on Workday and delivering a great experience for them. As of the end of the fourth quarter 265 customers were live with their HCM products and 18 customers were live on our financials applications. We’ve built a great ecosystem of deployment partners and are turning our own professional service efforts to supporting this ecosystem, improving tools to speed customer deployments and the ongoing customer success and satisfaction. It is just easier for companies to deploy Workday applications. Turning our attention to fiscal year 2014 you can expect continued focus on innovation, customer satisfaction and employee happiness. At a more fundamental level Workday continues to execute against our strategy to be the leader of enterprise cloud applications for human resources and finance globally. Significant wins in Japan were Nissan, Australia with Thiess and Europe with Primark highlight our increasing traction outside the United States and the growing number of suite deals where we sold both HCM and financials demonstrates that organizations are seeing the value of having HR and finance in one unified system. To be clear, we have a lot of execution in front of us to deliver on our ambitious goals and we’re still in the early days. But we’re off to a great start and we are very pleased with the early returns from these efforts. I will now turn over to Mark Peek to review our fourth quarter and full-year results and provide insight into fiscal year 2014.
Mark Peek: Thanks Aneel. We finished an outstanding fiscal 2013 with a great fourth quarter, generating record revenues, billings and positive operating cash flows. Before I get into the fourth quarter details and our outlook for Q1 and fiscal 2014, let’s spend a little time looking back on our fiscal year accomplishments. Fiscal 2013 was a year of tremendous success financially and across our operating metrics. Total revenues increased 104% to $273.7 million and subscription revenue increased 115% to $190.3 million. Total unearned revenue for the year increased 52% to $285.3 million, and we generated positive operating cash flows for the year. Our business model proved it can sustain itself from a cash flows perspective and this allowed us to change our sale incentives away from terms that helped finance the business to those that provide better long-term economics. Fundamental to our business model is the belief that once we win a customer we keep the customer. This is driven by a combination of the importance of the applications, the frequent product upgrades and very high customer satisfaction. Of course, we also went public in October raising $685 million in cash. We added 680 employees during the year, a 62% increase from the beginning of the year, and we finished the year with just over 400 customers, including 150 net new customers added during the year. We’re pleased with our fiscal 2013 accomplishments and want to thank our employees, our partners and our customers. Now I will walk you through the financial details of our fourth quarter. Total revenues for the fourth quarter were $81.5 million, an increase of 89% from a year ago. The vast majority of our sales are currently in U.S. dollars. So there is minimal impact from exchange rates. Subscription revenues for our cloud applications were $59.6 million, up 105% from last year. As subscription revenues are recognized ratably, our revenue growth represents a subscription service we’ve provided to our more than 400 customers. The weighted average duration of contract signed in our fourth quarter was just over three years as compared to closer to four years over the past several quarters. As a reminder, we focus our selling efforts on and have a strong preference for three-year terms on contracts. We believe we will have very high renewal rates and that the economics of shorter term contract are better for us in the long run. We were very pleased to see solid demand across regions, including significant wins in Asia-Pacific, EMEA and the U.S. Our professional services revenue was $21.9 million, an increase of 55% compared to last year. Our primary objective with our professional services business is to maximize customer satisfaction and is therefore not a primary revenue growth driver. Professional services benefited positively from recognition of $2 million from one customer that had been deferred until acceptance. We do not expect a similar circumstance next quarter. As a reminder, Workday strategy is to rely on system integrator partners for the bulk of our customer deployments and we’re very pleased with the customer adoption from our partner led deployment. Total unearned revenue at quarter end was $285 million, up 52% from a year ago. Over 90% of our unearned revenue is from subscription fees. Short-term unearned revenue was $199 million, an increase of 21% sequentially and 74% from last year. Non-current unearned revenue was $86 million, down 2% sequentially and up 17% from last year. As we discussed in the past, as our balance sheet strengthened during fiscal 2013, we changed our sales compensation structure to deemphasize multiple year upfront cash collection to finance the business. So the percentages of the contract built upfront is comparably less than in prior periods. This change negatively impacts the comparisons to our non-current unearned revenue, calculated billings and cash flows but in the long term we believe it improves the economics of our business. I also want to provide you with color on our backlog. As a reminder, most of our subscription agreements are for three years and are non-cancellable. In a typical contract, the first year of a multiyear contract is billed and recorded on our balance sheet as unearned revenue. The non-cancellable unbilled portion of the contract remains off our balance sheet as backlog until billed. Total subscription backlog as of the end of fiscal 2013 was $434 million. Backlog was approximately $325 million as of the end of our second quarter and approximately $240 million at the end of our fiscal 2012. Total future subscription revenue, which includes total unearned subscription revenue plus the subscription backlog was $695 million as of the end of fiscal 2013. Looking ahead to the first quarter and our fiscal 2014, we are mindful about the challenging macroeconomic environment and the muted expectations for IT spending. However, the strength of our business model and continued momentum provide very good revenue visibility, and we expect a solid first quarter. As we described in our S-1 during the first quarter of fiscal 2013, we recognized $2.6 million in subscription revenue and $2 million of professional services revenue related to the expiration of a delivery obligation for a 2009 customer arrangement. With that backdrop we expect total revenues for the first quarter to be within a range of $83 million to $87 million or growth of 46% to 53% or 59% to 67% normalized for last Q1. Subscription revenue is anticipated to be within a range of $64 million to $66 million reflecting year-over-year growth of 73% to 79% or 86% to 92% normalized for last Q1. As mentioned during our earnings call in November, we also anticipate calculated billings in our fiscal first-quarter to be down sequentially from our fourth quarter by at least 10%. For the year we anticipate total revenue of $420 million to $435 million or growth of 53% to 59%. I want to emphasize that our strategy around professional services to build an ecosystem and ensure customer success and deployments. Our professional services revenue is largely designed to fill in for any gaps in the ecosystem. The annual revenue guidance assumes professional services revenue of approximately $100 million to $105 million for the year. Let’s spend a few minutes on operating expenses and our results of operations. Unless otherwise noted all references to our expenses and operating results are on a non-GAAP basis, which are reconciled in the investor relations section of our IR website. Our total head count was 1776 as of the end of our fiscal fourth-quarter. This reflects increases of 156 in the quarter and 680 since the beginning of the fiscal year. For 2014 we anticipate adding more people than we did last year as we build out our global market expansion efforts and product development teams. Approximately two-thirds of our GAAP expenses are employee related. Our fourth quarter gross margin was 61%, up 2 percentage points from the third quarter driven by our mix of subscription revenues growing faster than professional services. We don't anticipate further improvements to our gross margin over the next year. Although the mix between subscription and professional services will continue to shift towards subscription, we anticipate lower professional service margins as we invest in programs to ensure ongoing customer success post deployments. The fourth-quarter subscription gross margin was 79% and includes the costs related to providing our cloud applications, compensation and related expenses for operations staff and data center and networking and depreciation. Our fourth-quarter operating loss was $25.2 million or a negative 31%. This was significantly better than we had anticipated and was largely the result of the timing of our hiring during the quarter, modestly slower than expected hiring and most of our capital spending occurring at the end of the quarter resulting in lower than expected depreciation charges. We expect Q1 2014 operating margins to decline over Q4 2013 and anticipate that the full year will be around negative 30% as we continue to invest in growth. Long-term profitability and cash flow generation are important goals and we believe that our focus today needs to be on market expansion, continued product innovation and growth. Research and development expense in the fourth quarter was $29 million, up 8% sequentially and up 62% from year ago. We continue to invest in our product development as we strengthen and expand our suite of applications particularly in financial management. Our HR and financial management applications are enterprise systems of record at the core of our customers business. We are building solutions for large complex global enterprises, and we believe continued investment in our applications will be a key driver of future growth. Sales and marketing expense was $35.5 million, up 12% sequentially and up 59% from last year. We plan to make significant investments over the next several years to leverage our global market expansion efforts. General and administrative expense was $10.1 million, up 25% sequentially and 124% year-over-year. The increase is primarily a result of adding staff to support the needs of a public company. The net loss per share was $0.16 on 162 million weighted average shares. Given our net loss, all outstanding stock options and common stock equivalents are anti-dilutive and not included in the loss per share calculation. In April, the lock-up of shares outstanding just prior to the IPO will expire. Approximately 63 million shares, including more than 14 million exercisable stock options not currently included in our share count will be available for trade after the lockup expires. Each total excludes shares held by insiders and no subject to the 144. Due to large number of exercisable options becoming available in April, we are not providing share count guidance for the quarter. However since we are in a loss position, additional shares outstanding serve to reduce the loss per share. Taking into account our adjustments to GAAP operating income that Mike disclosed at the start of the call, we currently expect our fiscal first-quarter non-GAAP operating margin to be within a range of a negative 34% to 38% of total revenue and for the year to be approximately negative 30%. The GAAP operating margin for the fiscal first quarter is expected to be 9 to 10 percentage points lower than the non-GAAP margin and the full year 2014 GAAP operating margin is expected to be approximately 13 to 15 percentage points lower than the non-GAAP operating margin. Now on to our balance sheet and statements of cash flows, cash and short-term investments at quarter end were $790 million, down $7 million from Q3. Operating cash flows were $5.9 million for the fourth quarter and $11.2 million for the year. Free cash flows for the quarter were negative $4 million and for the year a negative $23.4 million. As a reminder, when calculating free cash flows we conservatively subtract the gross value of all equipment even when acquired under capital leases, so we can evaluate our progress on free cash flows independent of our capital financing decisions. Capital expenditures during fiscal 2014 are anticipated to be approximately $80 million. To summarize, we are very pleased with our solid fourth-quarter performance and our accomplishments during fiscal 2013. Looking ahead we’re investing for the long-term and see a very large opportunity in front of us. You should expect us to continue making significant investments in our product development and global market expansion to maximize our long-term growth opportunities. With that, we will now open it up for Q&A.
Operator: (Operator Instructions) And your first question today comes from the line of Adam Holt with Morgan Stanley.
Adam Holt – Morgan Stanley: Two questions on the quarter, first, in the customers that you signed, can you talk through what the common denominators were if there were any terms of product and service usage? And then secondly, while we understand renewals are still a fairly small amount, can you talk through what you saw in the renewal activity in the quarter?
Aneel Bhusri: Hi Adam, it’s Aneel. On the first part of the question the characteristics that drove customers decisions, they are really the same as they have been over the last few years. These are large global companies, in many cases looking to consolidate down to one single instance one employee view, one view of all employees, and on a global basis and getting the cost savings of moving to the cloud model and then the big step up in usability that they experience when moving to a cloud solution at Workday versus the legacy systems. So really more of the same than anything else.
Mark Peek: Adam, it’s Mark. With respect to renewals again more of the same. Our fundamental belief in the business model is that once we have a customer, they will stay a customer and so the renewals activity during the quarter reflected that and the couple of accounts that we did lose came through either consolidation or some other dissolution of the business. And so it was a solid quarter on renewals with the uptick in the overall revenue.
Adam Holt – Morgan Stanley: If I could just ask a quick follow up on your distribution you’ve had a significant increase in capacity, how are the sales folks ramping that you’ve hired and where will you make your investments in sales heading into next year?
Aneel Bhusri: They’re ramping well, they’re ramping pretty much on plan. I think as you look forward we’re really focused on building a company for the long run. So we’re making some big investments outside of North America. And if I were to come back to your first question, and one of the things that we took away from the large customers we signed outside the U.S. is not the same value proposition that it worked with U.S. multinationals that’s is working outside the U.S. So you are seeing us put additional resources at a faster clip in Asia and in Europe, and that's really the big, big new focus for us from a sales deployment perspective.
Mark Peek: And to echo that, I think that as you look ahead to fiscal 2014 our expectation is that overall sales productivity will be flat or tipped down a bit as a result of putting people in new geographies and the fact that we have to build out the sales notion and it just takes a little bit more time for the sales force to be productive in new geos.
Operator: Your next question comes from the line of Heather Bellini with Goldman Sachs.
Heather Bellini – Goldman Sachs: I was just wondering if you could talk a little bit about the competitive dynamic and kind of how you saw win rates this quarter and kind of who you are seeing as your primary competition and whether you’ve seen that change, kind of where you’re getting the majority of your customers from at this point or the placements from people like Oracle and SAP or are you also adding from people who are using vendors outside of those? And then I guess the follow-up question would be kind of if you're thinking about your expense management, I am trying to think about some of the modules that you’re offering, where do you see -- which module do you think you're having the biggest success with a dozen add-on at this point?
Aneel Bhusri: So on the first part of the question, I hate to say more of the same but it is more of the same. I don’t think anything really changed in the fourth quarter in terms of competitive dynamics. We continue to compete with the two large legacy players and continue to replace predominantly those two large legacy players. If I were to highlight one trend from last year that was the fourth quarter was particular strong. It’s our mid-market effort which really began in earnest last year. This is the segment between 1000 and 3000 employees and in some cases in that segment of the market we're competing with more mid-market solutions or replacing midmarket solutions and we had a very, very strong year in that category and that's one where we really had not put a dedicated focus on in the previous year.
Heather Bellini – Goldman Sachs: And then in terms of the add-ons?
Aneel Bhusri: I’d say probably the most popular add-on at this point is payroll and that's largely tied to the maturity of the product and expenses is doing well but so is time tracking relatively new module but that is being an add-on to payroll and HR. Frankly on the financial suite, we’re more focused on selling the whole suite rather than selling expenses module separately and on the HR suite we have a big install base now. So we can – we’d have the different – has a different cadence to where we are able to go back and sell payroll, time tracking or even the financial suite as an add-on.
Operator: Your next question is from the line of John DiFucci with JP Morgan.
John DiFucci – JP Morgan: Congrats on a real strong quarter here. I mean if we look at the annualized subscription billings the calculation of that we get something around 80% growth, which was much better than we were looking or much better than we had modelled. But the revenue guidance is little bit below the Street was expecting, I guess. Can you comment on that and then I just have a follow-up on the lockup.
Mark Peek: Sure John. I think overall on the revenue and we tried to call it out in the prepared remarks is around professional services. And we have -- our professional services strategy is really to build out an ecosystem and to the extent that the ecosystem is successful we don't want to do as many of these deep prime (ph) as many deployments and we'd rather focus our efforts on helping the ecosystem, build the IP around it and also touching each customer to make sure that they have each of the steps to having a successful deployment but then also to stay involved with our customers post deployment so that they can successfully do the updates and they’re getting the most bang for their buck. As a result, professional services revenue number in our annual guidance is about $100 million to $105 million which is from a mix perspective a little bit quicker change to subscription versus overall professional services.
John DiFucci – JP Morgan: That’s fair enough. And I see actually for next quarter when you gave the subscription guidance, it’s actually little bit above the street.
Mark Peek: In professional services it is implied as $19 million to $21 million in Q1.
John DiFucci – JP Morgan: And I guess just a follow-up on the lockup, I think you said that 63 million shares come off lockup excluding insiders. I just want to make sure I understand this because I have something like twice that number I guess that includes insiders, are those insiders restricted I guess is the first question? And then can you comment at all on your perception of the intent of your early investors, and well, the restricted the insiders founders, obviously Aneel is on the phone here. But also thoughts on how you might facilitate the distribution of your shares in an orderly fashion?
Mark Peek: So just starting at the top and the comments in the prepared remarks we have 63 million shares which includes 14 million vested non-exercise stock options that are currently subject to the lockup and those will expire on April 10. That excludes any of the insiders or affiliates that are subject to volume trading rules under rule 144. Across-the-board people are – this is a long term company and we're looking ahead to the long-term. That's the cofounders will sell a nominal number of shares under trading plan. And then we don't really have insight as to some of the early investors and to what their intent is. However we don't plan on having organized distribution or a secondary offering at the time.
Operator: Your next question is from the line of Walter Pritchard with Citigroup.
Walter Pritchard – Citi: Mark, I was just wondering you talked about the 695 million in total subscription backlog including the unearned. Could you give us the number for a year ago, and so we can compare that and then also looking forward do you expect that – we understand the dynamics between the short-term billings and the long-term given the change in the comp plan and the impact on long term collection, but could you help us set expectations of whether or not we should think about the backlog growing slower or faster than what you bill on the short term?
Mark Peek: Sure Walter. The backlog the year ago and the way that we – the backlog is non-cancellable subscription but does not include any professional services in that number. It was $240 million at the beginning of the fiscal year and then you have the 100 revenue number, right off the balance sheet. Overall professional services as a percentage of total unearned revenue has been declining and that’s because of the maturation of our contracting process and the overall revenue recognition over time. So what I do fully expect to happen over time is that all of the or the vast majority of the unearned revenue that is 90% today ends up being subscription revenue with very little professional services revenue. The second part of your question?
Walter Pritchard – Citi: Yeah the second part which is understanding the trends, looks like backlog actually – perhaps the number triggered backlog really slower than the short term billings and I am trying to understand how we should think about the relationship between the backlog and the short term billings?
Mark Peek: Yeah and if you look at the -- in the registration S-1 process we gave up a midpoint in the year backlog number of $325 million, so that was the July number. And so the growth in each six-month period was relatively close. I think the biggest dynamic in the backlog is the fact that we -- this quarter is the fact that we had 3.1 years of the average contract life and that’s down from where we were about 3.6. So it’s in the quarter alone a half a year decline. We think that, that’s good for the long-term health of the business to be around the 3 year points.
Operator: Your next question is from the line of Jason Maynard with Wells Fargo Securities.
Jason Maynard – Wells Fargo: I had two questions actually on the product side. First off, I’d love to just get your take as you look into 2013 and how you think the financials product is ramping, how you're maturing it and what your sort of expectations are from that standpoint? And the second is I’d love to get any color or commentary you can share on where you stand with some of the new modules that you talked about coming, obviously later actually in the next year around recruiting and some of the big data analytics programs?
Aneel Bhusri: On financials it’s right on track. The project we have internally is dubbed Big Fin for big financials and it’s much like we talked about on the road show, it’s taking our financial products which are increasingly a feature-rich and getting very close to parity with the legacy companies and bringing our EOD capabilities, the analytics object data source capability to different parts of the application to scale up to large-scale Fortune 500 companies. So that project is on track, it’s going to carry through for all of this year and into next. And each update that comes out we scale to a bigger and bigger customer. So given where we are right now we’re largely continuing to sell to midmarket or the smaller of large companies and that’s going very well. As I said in the prepared remarks 50 customers. So it really is pretty much where we expected it to be. And I’d say the same thing for our new products, and we've been at this model for a while now and so new products are fairly predictable. Recruiting is right on track, it’s a longer bill just given the huge scope of building a recruiting product is right where we’d hope it to be and Big Data is on track to be available this late fall – late summer early fall, exactly like what we had announced at rising. So right on track and if anything in some cases maybe farther ahead than we’d hoped for.
Mark Peek: And I would take that Big Data in particular. We’ve gotten more interest and reception than even frankly I had expected and I think it's because customers are looking at this platform not just as a big data platform, but more as a way to take advantage of all the data that's not Workday data and be able to find a place to put it in and then report against it with the Workday data. So it’s actually hitting a need that’s existed for several years and as a result there has been a lot of interest in that product.
Jason Maynard – Wells Fargo: But you kind of opened the door there a little bit, are you going to position your analytics product much more general purpose in the long run, how do you think you’re going to roll that messaging and targeting of the customer base out, will it stay within your comp plans or will we start to hear more of you putting this into the customer bases kind of a next gen if I will be a replacement type of product?
Aneel Bhusri: So I don’t think we’d ever sell it as a standalone data warehouse if a customer wasn't using HR and financials. But if they are using one of those modules, or one of those suites, and they already have that Workday data, they can put whatever data they want to this warehouse and in most cases we run into customers that have financial data warehouses. And ideally this will be a replacement for those financial data warehouses. And if you think about the data, financial data warehouse is pretty much everything.
Operator: And your next question is from the line of Brent Thill of UBS.
Brent Thill – UBS: Aneel, just to follow up on Jason’s question on financials. When you talk about the midmarket to large enterprise, are you still thinking about a year and half to two years out before you’re successfully selling into the global 2000 or are you thinking the shorter-term duration till when you're starting to hit stride there?
Aneel Bhusri: I would feel comfortable now. I mean, it was a year and a half to two years out in November, and so we're six months later, so you can just deduct it. I mean, really we're exactly on the same plan as we talked about during our IPO and then in our earnings call. So I'd say less than two years at this point..
Brent Thill – UBS: Mark, just on the backlog, are there any anomalies we need to keep in mind as we go into 2014?
Mark Peek: I think the big important factor that you think about backlog is we've been providing the metric with respect to the average contract length in terms of number of years and that we've moved from nearly 4 and closer to three in this last quarter. But for the most part it’s calculated fairly cleanly, it’s the total contract value of the non-cancellable subscription. And then we just back out what we have actually billed and it’s either been recognized as revenue or reported on the balance sheet. So it’s pretty clean. From time to time there will be something that accelerates a contract or if there is an add-on it can change the mix and when that rolls out a bit but other than it’s a fairly simple calculation. You'll get right definitely (ph).
Operator: Your next question is from the line of Brendan Barnicle with Pacific Crest Securities.
Brendan Barnicle – Pacific Crest Securities: Aneel, when you think about the move to APAC and to EMEA, is there going to be anything fundamentally different about the go to market strategy and sales strategy in those markets than what you’ve done in North America?
Aneel Bhusri: From a sales strategy, I don't think there is anything that's different. I do think that what we need is to find local service partners, much like we have – we’ve got the big companies like Accenture and Deloitte and IBM working with us on a global basis. So we also have companies like a DayNine, Collaborative and OmniPoint that are more I would guess home boutiques. We need to find those same boutiques in Europe and in Asia. And that's pretty much what we are doing.
Brendan Barnicle – Pacific Crest Securities: And then just following up on the financials another time, aside from market size, have you noticed anything in terms of vertical markets or use cases that have been particularly consistent among these first 50 customers?
Aneel Bhusri: I'd say that we're probably furthest along in reaching parity with the legacy systems in the public sector market, in particular the higher education. And much like we saw with HR, when you get closer to parity with the legacy systems, the business begins to pick up. So it's not a surprise that of our first 50, there is quite a few that are higher education institutions. Not only do we have a lot of features there but we’ve actually built specific capabilities for them in the case of grants management and fund accounting. And so as we layer on some of those industry-specific features in other industries, I would expect a similar reaction.
Brendan Barnicle – Pacific Crest Securities: And then Mark just one for you, cash flow was much better than you’ve expected. As you think about that for next year, are there any anomalies we should be considering in that, that that gave us such robust strong cash flow during the fourth quarter?
Mark Peek: Not particularly, again we have made a shift in how much cash we’re billing upfront and when we start a contract and that – we still have a couple of quarters before that's a negative comp for us until we have probably Q3 of next year. If you look at accounts receivable relative to sort of billings outstanding we had a good quarter and with all of the activity that we had through the summer and through the IPO we just improved our collections as we had better performance on accounts receivable during this quarter.
Operator: Your next question comes from the line of Richard Davis with Canaccord.
Richard Davis – Canaccord Genuity: Among the things that you can control, where do you see the most kind of relevant gating issue to your growth? Is it sales hires, is it product development or is it -- I hope you don't say all of the above, but just when you kind of -- you have to put wood behind certain things, how do you think about that?
Aneel Bhusri: I feel like we're hiring as well as we can in the two areas that you mentioned. The area that we continue to invest in is actually building out the ecosystem for delivery. And that's an area where we have covered some control, but as you can see from our model, we're relying more and more on external partners. And that continues to be a big area of focus for us. But in terms of ramping up development, we're right on track from where we want to be in sales people. We have a bar for culture and for talent, and so for both areas we need to hold to those bars but are feeling very good about the hiring.
Mark Peek: And as I think we look at fiscal 2014, as Aneel mentioned you can -- there's only so many people you can absorb over a given amount of time and maintain the quality and the culture and we’re making our benchmark towards the international markets where we think that the sales productivity will be a little bit less just as we ramp up into those geos.
Operator: Your next question is from the line of Mark Murphy with Piper Jaffray.
Mark Murphy - Piper Jaffray: Aneel, how do you think Workday financials compares to Oracle Fusion financials in the cloud right now? And I'm also curious what are the product development milestones that you'd like to hit in the next couple of years for financials? If it's scalability, then what exactly is the scalability bottleneck? And if it's functionality, then I am curious which functions at this point you think will be holding you back from the Fortune 500 type adoption of financials?
Aneel Bhusri: So on the first part of your question, candidly I didn't really know there was an Oracle financials on Fusion. If there is, we don't come across it yet. We definitely see Fusion on the HR side, but we haven't seen it on the financial side. On the financials, we typically compete against the legacy on-premise products, much like we have historically on the HR side. From our own product perspective, if I were to guess we're 80% of the way they’re on functionality, on scalability. We scale to companies that are probably up to 10,000 employees on an average transaction basis. And we're looking to get to the Fortune 500 going into next year. That's a big leap in terms of scalability. The other piece is global. We need to continue to round out the product with global features, so we can sell it to multinationals not just based in the U.S., but in Europe and Asia as well. So you add all those things together, it's that same 18-month journey to get the scalability and the global capabilities. And once we've accomplished those two, we'll then begin to attack specific industry functionality. Like we've done with public sector, we'll bring that to financial services, we'll bring it to healthcare. In financial services, you need average daily balance; in health care, you get into lot tracking issues. All those things are down the road, but in 18 months we've got the scalability and global platform that I think will open up a lot of opportunities for us.
Operator: Your next question comes from the line of Steve Ashley with Robert W. Baird.
Steve Ashley - R.W. Baird: I was going to ask on the 50 new customers, if any of those were brought by non-HCM, if they were -- if the other modules were bringing new customers to the table as well.
Aneel Bhusri: I think each -- Steve, I don't know exactly. There is a combination of -- each of them have HCM as part of the module. So these are all net new customers. And they would all have HCM, and then a few of them are sold as suites where there is sort of multiple products or the entire product line across them.
Mark Peek: I would add that, what we began to see in the second half of last year was this suite sale where a customer would buy all of our financials and all of our HCM products. And when you do the suite sales, those are driven by financials much more than by IHR and that's a really positive trend for us. Most of the suite sales happen in the – what I would define as the midmarket 1000 to 5000 employee segment.
Operator: Your final question comes from the line of Laura Lederman with William Blair.
Laura Lederman - William Blair: I've got two actually. Can you talk about the impetus you see most often or the impetuses, if there’s such a word, you see most often where people decide they want to make a switch? Is it that they're facing an upgrade, is that the most common? Can you kind of go through some of the most general things that you see in terms of what prompts somebody to decide to look at Workday?
Aneel Bhusri: Sure. Actually, that is the biggest driver, Laura. I was actually out on some sales calls yesterday in the Midwest, and the biggest issue is facing an upgrade of a legacy system, looking at the next version of that legacy system, and coming to the conclusion it's a very expensive upgrade and you don't get very much for it. At that point, they look at alternatives, and at that point, hopefully Workday pops on their list and that really has been the same pattern really for the last several years. If there is any other driver, I do think in a world where there are certain sectors that are very, very focused on employees and are hiring and maintaining the best employees is a challenge, that they're looking at these systems as improving employee engagement and bringing a much better experience to their employees and managers. And that's -- I'd say that's a newer driver over the last 12 months.
Laura Lederman - William Blair: One final question from me which is you mentioned that you are now doing well in the middle market, you are replacing different vendors there. Can you talk about the different types of vendors that you are seeing (inaudible)?
Aneel Bhusri: Rather than names, I would say that we will replace companies where they were using potentially a payroll service bureau solution and now -- and minimal HR and now they want a full HR or they are using a midmarket on-premise system might be candidly a Great Plains. It might be a loss and while it’s not a tier one ERP system, it’s still a good on-premise system, and in most of those cases, they bought a full suite. And so they’d like to buy a full suite in the cloud to replace that, which is why the suite sales work so well for us.
Mike Haase: Okay. Thank you everyone. That concludes the call.
Operator: We thank you for your participation in today’s earnings call. You may now disconnect. And have a great day.